Operator: Ladies and gentlemen, thank you for standing by and welcome to the Anaplan's Third Quarter Fiscal 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Edelita Tichepco. Thank you. Please go ahead.
Edelita Tichepco: Good morning, and thank you for joining us on today's conference call to discuss Anaplan's third quarter fiscal year 2020 financial results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Dave Morton, our Chief Financial Officer. On this call, we will be making forward-looking statements, including financial guidance and expectations for our fourth quarter and fiscal year 2020, anticipated future operating and financial performance, strategies, customer demand, product and technologies. These statements reflect our best judgment based on factors currently known to us and actual events or results may differ materially. Please refer to documents we filed with the SEC, including the Form 8-K filed with today's press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statement. These forward-looking statements are being made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not be current or accurate. We will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated, during the call, all references to our gross margins, expenses and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our website. We're planning for today's call to last approximately 45 minutes, and we will do our best to accommodate your questions following our prepared remarks as time permits. And with that, I'll now turn it over to Frank Calderoni.
Frank Calderoni: Thanks, Edelita. Good morning, everyone. I'd like to first start by congratulating our employees, partners and shareholders as we celebrated our one-year IPO anniversary at the New York Stock Exchange this quarter. We had an outstanding first year as a public company because of the enthusiasm and commitment from our customers. It was also a historic year for us where we established our leadership position in the Connected Planning category, which was demonstrated by our consistent topline growth. We also received recognition from industry analysts, and we continue to expand our customer base, partner ecosystem and our community overall. In addition, we were able to attract impressive leaders and innovative talent who will continue to elevate us further. And finally, what I am most excited about is that we are just getting started and we have a lot more momentum ahead of us. When I look back at this past year as a public company, I am most proud of the accomplishments our teams have delivered and continuing this trend, I am pleased to report another strong quarter. Total revenue was $89 million, up 44% year-over-year and subscription revenue grew 47% year-over-year. We continue to see impressive growth in the value of Connected Planning, and it has become an imperative for companies who must meet the challenges of competing in today's digital economy. In a world where the pace of change continues to further accelerate, we are seeing a massive shift in the way companies plan and make decisions across their enterprise. The best companies know that in order to stay ahead of their competition, business leaders must be better connected to one another on one platform that can easily analyze data to make better decisions within a chaotic marketplace. A recent Forbes research report highlighted that companies who digitally transform, realize that it's very tough. As the report mentioned, only about one in four CEOs in the Global 2000 are leading successful digital transformations, and those are succeeding at the digital transformation journeys were able to capture over 70% of the positive and measurable changes in their sectors. The research shows that the key success factors are agility and the ability for a company's leadership to change their approach to manage their products, people and customers in this digital age. As we have experienced, companies across a variety of industries must make the digital transformation shift. We see this in the breadth of organizations continuing to increase their spend on these types of initiatives. We continued our steady pace of new customer acquisition ending this quarter with over 1,300 total customers across a wide range of industries. Our platform is unique as it provides a single, centralized, seamless environment in which all functions can carry out their day-to-day operational planning. This differentiated aspect of our platform continues to drive a larger footprint and we are now serving 324 customers with over $250,000 in annual recurring revenue, growth of 42% year-over-year. This was also a record quarter for the number of seven-figure deals that were closed. To demonstrate the broad relevance of our platform to many different industries, one of our large deals this quarter was with one of our most comprehensive drug development companies with over 50,000 employees in over 60 countries. This company has decades of scientific expertise delivering the largest volume of drug development data in the world. With clinical research projects that can last up to 10 years, span multiple countries and require input from hundreds of lab technicians this customer needed a more efficient way to manage key insights throughout the entire life of projects. Our platform will enable over 3,500 researchers to leverage Anaplan for planning to gain better insight throughout the entire project cycle. This is expected to drive consistency and accuracy in forecasting, reducing project delays and cost inflation. One of the key factors for the customer in choosing us was the value of Connected Planning and the potential to bring other parts of their business onto the platform in the future. In another example, one of the largest airline carriers globally chose Anaplan for workforce planning in their operations customer center, which runs around the clock, 365 days a year. This team controls flight operations globally with hundreds of staff dedicated to load planning and flight scheduling issues. Being able to predict and accurately manage staffing was becoming increasingly complex with the different skill sets required to staff the center while complying with FAA regulations. This customer chose us to manage staffing plans and predictions for their operations customer center. Finding a scalable solution for accurate workforce and staffing scheduling was key to delivering and meeting service levels as well as optimizing labor costs. In the consumer goods industry, a key highlight this quarter is a seven-figure expand deal with an existing global consumer goods company. This customer has 60 subsidiaries and over $50 billion in revenue. To-date, they have deployed our platform in multiple supply chain and finance use cases across 18 different businesses in areas such as production planning, pricing and assortment planning. Their Connected Planning journey has led this customer to standardize on Anaplan for all of their planning needs, and this is a great example of the honeycomb effect. An impressive seven-figure expand deal for us this quarter was with a customer in the manufacturing industry. This customer initially deployed our platform in finance last year and was up and running in two months. Seeing the transformational effect this has had in one specific area in such a short time, the customer implemented a company-wide Connected Planning initiative. What is really exciting to me is that this customer now has an Anaplan council comprised of functional leaders across 17 departments, all with a single vision of driving value across the entire business through the prioritization of use cases across finance, resource planning, inventory and logistics planning. These customer highlights underscore that we are driving significant change across the enterprise through Connected Planning. The business processes and analytics being placed on our platform are mission critical as evidenced by the number of customers we now have with over $1 million in annual recurring revenue, which was up 57% year-over-year. We are focused on enabling our end users with the best and most intuitive technology. Our platform serves a broad range of functional areas within an enterprise. We are continuing to see strong demand in sales, supply chain, finance and workforce planning. This past quarter, we participated in multiple supply chain events, including the Gartner Supply Chain Summit held in Denver, where we met hundreds of current and potential customers. Many of them were focused on how to better bridge between supply chain and other functions, which demonstrates the power and the interest in Connected Planning and the shifting effort to deliver clear commercial outcomes. Our customers continue to ask about Anaplan’s capabilities to help supply chain leaders navigate commercial uncertainty, particularly due to impacts like tariffs or changing regulatory regimes. From a product perspective, our new platform user experience and mobile app are now available to all customers. We released our new mobile app over the last month, which enables planning at the edge. As businesses navigate real-time changes and uncertainty, Anaplan Mobile is a secure and intuitive tool. Our mobile app with the new user interface allows decision makers to access intelligent planning capabilities on the go and increase productivity. Within our Anaplan ecosystem, we continue to make great traction. Our customers, employees and finance, marketing, sales operations, supply chain, HR are transitioning from working in silos with limited business impact to running dynamic analyses that allow them to move quicker, more impactful decision-making. These employees are developing the skill set, their companies need in addition to feeling more empowered. Our Anaplan Academy has been focused on creating and delivering more learning courses and as of this past quarter, we have had a few thousand early level certifications with over 100,000 individual online courses that have been completed. Within our partner ecosystem, they continue to provide capability, capacity, expertise and industry best practices helping to deliver world-class planning capabilities to our enterprise customers. The percent of deals originated by partners is steadily increasing and the mix of partner business we are doing with our GSIs and Gold Partners is also on the rise. This past quarter, we are seeing an increase in the partner engagement as we held our Inaugural Partner Advisory Council Meeting in New York with our top 15 partner leaders. At our User Conferences in London and Paris, we had 2x the partner attendance this year, showing the growing maturity of our ecosystem and the commitment from our partners. From a recognition standpoint, Anaplan was ranked on Deloitte's Technology Fast 500 in North America for the third consecutive year. We are also continuing to gain strong industry recognition and this quarter, we were recognized in two separate IDC vendor assessment reports. We were named a major player in the Worldwide Supply Chain Sales and Operations Planning as well as in the Worldwide Supply Chain Demand Planning reports. This shows the unique breadth of our platform and the opportunity that exists in the planning ecosystem within our customers. Our continued momentum remains consistent and prolific. With the significant shifts in the digital economy, it's becoming more and more apparent that we are the platform choice for our customers. This is reinforced with the sustained market demand for Connected Planning. I feel confident that our customer-first approach is working with the way we innovate and bring new features to the market. I also feel excited about how we continue to capitalize on all the industries trying to navigate the digital transformation journeys with one platform that can help them make better decisions quicker. Now let me turn over the call to Dave, who will discuss our third quarter financials and outlook for the fourth quarter and fiscal year 2020. Dave?
David Morton: Thanks Frank, and good morning, everyone. Our Q3 results demonstrated continued momentum and demand for our platform, coupled with steady progress in growing our leadership position in Connected Planning. Total revenue for the quarter was $89 million, up 44% year-over-year. Within this, subscription revenues grew 47% and comprised 89% of total revenue. Service revenues were $10 million, up from $8 million in the third quarter last year and down sequentially $1.2 million as we continue to deemphasize generating revenue from professional services. Calculated billings of $114 million grew 59% year-over-year. Our remaining performance obligation or RPO balance as we exited the third quarter was $590 million, up 55% over last year. This is the third consecutive quarter of RPO growth above 50%. Our dollar-based net expansion rate or NRR was 123% and continues to track above 120%. Overall, this was a very strong quarter for expands. And as mentioned earlier, we had a record number of seven-figure expand deals demonstrating the ongoing traction and success we have with our existing customers. Our top 25 customers have an average ARR of over $3.5 million, up approximately 40% year-over-year. We also continue to serve a growing base of customers with over $250,000 in annual recurring revenue, which this quarter was 324 customers up from 228 customers this time last year. Looking ahead, we have a significant and growing opportunity to expand the use of our platform within our customer base. Our unique approach to enterprise-wide planning and the capabilities of our platform encompasses frontline managers and professionals across a wide range of operational areas; finance, sales operations, supply chain and marketing. Turning to our profitability metrics. For the third quarter, total non-GAAP gross margin was 76%, up 338 basis points year-over-year. Within this, subscription gross margins were 85%, up 131 basis points year-over-year and services gross margins were approximately 9%, up 912 basis points year-over-year. Total non-GAAP operating expenses were $77 million, up from $64 million in the prior year, primarily driven by go-to-market investments. We continue to drive leverage in our financial model through productivity and the investments we've made over the past 18 months. This is evident in our operating margins of negative 9.9% this quarter and improvement of approximately 20 percentage points compared to negative 29.5% in the same period last year. We are demonstrating significant progress towards our financial objectives of productivity and profitability. Our business unit economics continue to be healthy as we specifically continue to focus on our cost of acquisition, contribution margins and payback period. Net loss per share in the third quarter was negative $0.08 based on $132 million weighted average shares. Free cash flow, which is cash flow from operations less capital expenditures for the third quarter was negative $19.9 million, primarily driven by timing of tax-related stock payments negatively impacting our working capital. We ended the third quarter with $311 million in cash and cash equivalents. Turning to our outlook. For the fourth quarter fiscal 2020, we expect total revenue to be in the range of $96.5 million to $97.5 million and non-GAAP operating margin to be in the range of negative 14% to 15%. Weighted average share count for the fourth quarter is expected to be approximately 135 million shares. For the full fiscal 2020, we are raising our revenue and operating margin outlook driven by the third quarter performance and ongoing strength we see in our business. For the full-year, we expect total revenue to be in the range of $346 million to $347 million. And as previously stated, calculating billings can fluctuate from quarter-to-quarter, impacted by timing of renewals and transactions. However, we believe billings to track in line with overall revenue growth rates and our net dollar expansion rate to remain above 120%. Non-GAAP operating margin is now expected to be in the range of negative 17% to 18%. Weighted average share count for the full-year is expected to be approximately 130 million shares. While we've yet to conclude our fiscal year 2021 planning cycle, we'd like to provide a preliminary and high level view as we continue to remain confident in our ability to capture the strong momentum from digital transformation and the value we bring to our customer base. As such, we are currently planning for fiscal 2021 revenue of $455 million to $460 million, representing an approximate 31% to 33% year-over-year increase. In closing, I want to thank the entire Anaplan team for their contributions. We are well set up to close the year strong and head into next year with healthy momentum. Thanks for joining us today. And I'll now turn it over to the operator for questions.
Operator: [Operator Instructions] And our first question comes from the line of Kirk Materne from Evercore ISI. Your line is open.
Kirk Materne: Okay. Thanks very much, and congrats on a really nice quarter. I wanted to ask maybe about the bigger expands you all have been seeing? And maybe, Frank, are there any commonalities across some of those deals just in terms of how people are expanding their honeycomb, whether it's across functional units? Maybe just a little bit more detail around some of those bigger expands you had? And then I have just one other follow-up question. Thanks.
Frank Calderoni: Sure. Thanks Kirk. So we're really pleased with the performance of Connected Planning, and I think the strong expands start to highlight that the platform that we have is so pervasive across an enterprise, whether it be in finance, supply chain, sales, HR. And if you look – if you sound – kind of go back to some of the examples I provided, you'll see that we start in all different functions and regardless of where we start, our companies – customers start to see the value that comes from the platform and quickly go down an expansion route. I wouldn't say there's a specific path. What we do with customers is early on, we start working with them to understand what their needs are, especially if they're on a digital transformation journey or finance transformation journey or supply chain transformation journey. And we start early on to map out with them what the path looks like. And that's how the honeycomb is really formed, and it continues to evolve. One of the things that we're finding, I mean we mentioned this on the last call, over the last couple of years, it would take us probably a year to two years within that timeframe to do an expand. Now we're seeing the expands happen faster and we're seeing the expands larger. But if you look at just the size of our deals, we kind of talked about the top 25 customers average ARR being like $3.5 million. That shows the magnitude. If I also want to identify the top 10 customers, the average ARR is $5.3 million so we're now getting into millions with these customers because they're looking at the product and the platform and leveraging it across multiple. But at the same time, I've said this before, we're in early stages, I think we're early stages in the market and we're also in early stages with some of our top customers.
Kirk Materne: That's helpful. And maybe just one quick follow-up for Dave. Dave, thanks very much for the initial look out to fiscal 2021. I know you all are in investment mode and sort of you're growing through normal seasonality trends a little bit here, but anything you'd sort of advise as we think about building our models, I'd say, especially for the first quarter just in terms of maybe deferred patterns or anything around that. If you want to punt it until next quarter, I understand. But just want to throw that out there. So if you have any quick thoughts on that. Thanks.
David Morton: I think our initial thoughts just being relatively prudent at this time and place. We really haven't engaged and been overly thoughtful on any respect to seasonality. So for us that continue to be in this growth mode. I would tell you that we would continue on at the rate and pace as we kind of performance this year within the lines of the preliminary guidance we gave for next fiscal year.
Kirk Materne: Thanks very much.
Operator: Our next question comes from the line of Heather Bellini from Goldman Sachs. Your line is open.
Heather Bellini: Great. Thank you. Frank, thank you for the comments you gave us on the partner engagement. And I wanted to focus a little bit on that meeting. You said you had with the top 15 partners of late. I'm just wondering if you could share with us, kind of how large are those practices now in kind of just approximate terms, and how quickly have those top 15 been growing their base. And I might have missed it, but if you could share with us the percentage of business from partners and where that was maybe at the start of the year? And then I had a follow-up.
Frank Calderoni: Yes. Heather, thank you. So I'll answer the last part first. We mentioned that if you look at the partner business, it's over 50%. And as I also said earlier, that continues to increase. And I think it's really showing that especially with the global partners that we work with, that they're seeing value within their practice to expanding the coverage and the consultants that they have within their firm and Anaplan. Some of them are developing specific solutions around Anaplan as a platform and they're taking that to market. They're also opening it up not only just to Anaplan consultants, but to others, especially the large firms. I was in Asia a couple of months ago during the quarter and we had – we work with a firm and we work with the consultants that are specifically identified as Anaplan. And one of the things which I found extremely exciting is that they wanted to open up what Anaplan was all about to the larger consultancy practice, so that others, even if they're selling other platforms are aware of Anaplan and Connected Planning and actually start to see the connecting points. So we're seeing more of that. I mean, you can also look out there. The number of job openings within our partners continues to increase. And we're working with our partners to find ways of helping to develop some of the talent that they need as well as our customers as this whole ecosystem expands.
Heather Bellini: All right. And then the follow-up would be on the quota-carrying reps front. I mean, I know you guys have been adding a bunch pretty aggressively. Wondering if you could share with us kind of where that stands and if you can also give a little bit of color given the guidance that you gave for fiscal 2021, your initial guidance, should we expect, I mean the growth in quota-carrying reps, I think it's been accelerating this year. Can we expect it to accelerate again the growth rate of the adds in fiscal 2021 as well?
Frank Calderoni: So Heather, we're pleased with the progress. I mean, the key thing for us, and we've been saying this now, especially as I've been with Anaplan three years coming up in January. And know the key thing for us right now, as I said before, we're early in this whole transformation of what's going on around Connected Planning. And so we have to continue to invest especially in the go-to-market, and it's great. Our investment is in a couple of different areas. First, it's the investment as you say in the quota-carrying reps, so we continue to invest in that and expand that. And as we think about going forward, even with the – we provided some preliminary guidance for full-year 2021, that's showing continued growth. And so with that kind of growth, we have to continue to invest and expand. The second, as I just talked about, has to do with the partner ecosystem, right, working with more and more partners, helping them expand their practice, looking at various – working with them on certain solutions that they and we can bring together in the marketplace that get more specific around supply chain, more specific around certain verticals that are looking at solutions around Anaplan. And so we're investing in that as well. And I think all of that as we go into the new fiscal year is going to be important not only for 2021 growth, but really to continue to lay the foundation as we think about the next several years.
Heather Bellini: Great. Thank you.
Operator: And our next question comes from the line of Scott Berg from Needham. Your line is open.
Scott Berg: Hi, Frank and Dave. Congrats on a great quarter and thanks for taking the questions. First, Frank, I wanted to start off and review the last year since your IPO and for the partner investments that you're making. Are you seeing any shifts in terms of the mix of the business that you're selling, whether it's into the office of the CFO or some of the supply chain apps or as that mix remain relatively steady, even with all the growth investments you've made recently?
Frank Calderoni: So the investment – if I look at the mix of the business and I was even looking at this again yesterday. As we go back, it's been about 60-40, and it stayed pretty much in that range, 60% in finance, 40% outside of finance. Outside of finance primarily within sales and also supply chain, and within that we're seeing an increase in the – I guess the requirements around resource planning. And I think resource planning kind of ties all three together, right. It's applicable in finance, sales as well as supply chain. One of the things that, going back on your point and this is the strategy, like, we've had over couple of years. It's important for us especially working with our partners to think about where we make the most significant impact and really talking about Connected Planning. And our strategy has been around the office of the CFO. Not to say that we just sell to the CFO, but the CFO in the role that he or she has, has that broader purview across the organization. And that's where I think there's a lot of power in the Connected Planning because when you think about supply chain, a lot of the use cases that we are seeing connect back into finance as far as looking at the follow through of demand and supply planning. And the same is true with SPM, within sales, right, sales forecasting, territory quota. Different things like that have a connecting point back into finance. So we do sell and we kind of – our strategy with our team and with our partners is kind of the office of the CFO, but we broadened that, especially over the past two years to include the Chief Growth Officer or the Chief Revenue Officer, the Head of Supply Chain, the CIO or in some cases, individuals executives on the C-suite that are working on digital transformation.
Scott Berg: Got it. Quite helpful. And I guess, Dave, I'd be remised if I didn't continue the fiscal 2021 theme somehow. As you look at the revenues next year, obviously the percent of revenues coming from services is starting to trend down with the deemphasis there in push to partners. Is there any reason to believe that that mix next year does not look similar to the third quarter here that we might have seen?
David Morton: You're correct in your assumption. And we'll continue to deemphasize that portion well within the framework that we've laid out even a year ago, going back to the theme of our IPO from a long-term perspective to be less than 10%, and we're on that cusp. So as you continue to model out 2021 and beyond, I would continue to deemphasize that portion.
Scott Berg: Great. That’s all I have. Thanks. Congrats again.
Operator: Our next question comes from the line of Brent Bracelin from Piper Jaffray. Your line is open.
Brent Bracelin: Thank you. And one question here from me, and this is probably best geared for you, Frank. If I want to go back to the record number of seven-figure expands this quarter. You've been talking about this Connected Planning vision for well over a year as a public company now, but my question is why now? What's resonating most with these large enterprise customers? The external risk factors have kind of increased, if you will today than they were a year ago. But you're seeing really, really strong kind of adoption of the vision. So for me, why now? What's resonating with these large enterprise customers?
Frank Calderoni: Great question. And I can talk from experience as I answer this question, having been over 30 years kind of working with planning and so many different roles in several different companies. I talked to a lot of our executives and customers. If you think back, spreadsheets have been around for about 40 years this past June. If you also look back over the last couple of decades, there really hasn't been much change when you think about, and I'm not even talking about planning from a budgeting standpoint, I'm just talking about having information available to people in organizations that they can use to really make decisions. And decisions that are appropriate at a point in time and that continue to evolve. And the applications, tools, processes that have been around for the last couple of decades are archaic and they don't really provide every company that I walk in the door and talk to, that is the challenge that they have. People in their organizations working in silos, really having multiple sets of data, not really being tied directly into what the business really needs and then not being able to provide the analysis and effectively get to a good decision point. And so that's where I think Anaplan resonates. And there's a great example. I was just looking at this yesterday, and it's out there if you want to look at it, so I can actually quote the customer. It's in a publication called Supply Chain Brain. And it has to do with Sleep Number, who's been now our customer of ours over the past year. They have 600 retail stores within the United States and their business is growing. It's been very effective. And if you go back and look at this article, it talks about what companies are really dealing with. It's saying that their forecast process is heavily manual. They use a lot of spreadsheets and the needs that they have are very time sensitive and that they see a lot of errors and they're not able to really predict the right level of demand and therefore not have the right amount of supply at the different retail outlets. And the article goes in to really talk about with quotes from leaders within the organization that with Anaplan they were able to really streamline that process and really bring it down from what used to take eight hours to do a demand planning. Now they can do and they can forecast in minutes. And I think that's a great example. Kind of going back to your question, everyone, most companies today are trying to make real time decisions and that's why Connected Planning is really so appropriate.
Brent Bracelin: Helpful color, Frank. Thank you so much.
Operator: Our next question comes from the line of Raimo Lenschow from Barclays. Your line is open.
Raimo Lenschow: Hey, congrats from me as well. Two quick questions. Frank, can you talk to the importance of the new UI and the mobile user interface in terms – for bringing Anaplan pervasively out into the organization, you basically are able to connect to more users and make it then kind of a much more [indiscernible]. And then a question for Dave, last quarter you called out currency. Can you kind of remind us what the impact was this quarter? Thank you.
Frank Calderoni: So back on the new UX and mobile. And this goes back probably about two years ago. What I was hearing a lot from customers that they loved Anaplan. And as you would want, especially when you have a philosophy around customer-first and listening to what customers want. And I would say, each year we get better and better at that because we opened a lot of our insights as far as what we're doing on the product and engineering side to our customers so they can give us real feedback on what is most important to them, so we can make sure that we prioritize around their needs. UX was one of the ones that came up about two years ago and they started to give us certain requirements so that they can be much more flexible in doing some of the analysis with dashboards, easy to pivot, getting various things that they can then help collaborate faster within their organization. So we incorporated a lot of that feedback and we built it into the UX. The other great thing about our UX is also got us to kind of a state-of-the-art way of adapting a lot of the changes from customers, so that we can now continue to rollout enhancements on a more regular basis in real time. And that's really effective. So I think it’s allowed us a couple of things for customers. It allows us a lot of things to do from an efficiency perspective and how we look at features that we want to enhance for our customers. The other thing, I think, in emphasize and ties back to the previous question that I answered, which is the importance of having information at your fingertips and being able to pivot in real time. And I think the new UX allows our customers more flexibility and capability and it also gives it to – we like this phrase about planning on the go because whether you look at a UX that allows you more creativity and flexibility or you look at a mobile application that you can actually deploy at the edge of your planning, like in retail stores, go back to my Sleep Number example, where you can have a different retail outlets, be able to have information that they can feedback to the headquarters through supply chain. It's very impactful.
David Morton: The rate and pace of productivity as well.
Frank Calderoni: Yes, exactly.
David Morton: So all the above. And then Raimo, good morning. And in regards to FX, yes, last quarter we called it out more of a – as an episodic event is how it was impacting some of our print on momentum per se. We're able to manage throughout the respective quarter on the true impact of any foreign currency. But if you look at it from a year-over-year, there was still a slight deterioration specifically in the GDP to USD, but we're really not getting into conversation points of constant currency versus how our financial show up here.
Frank Calderoni: I want to go back – well, yes, just one more point I want to bring up about mobile. Initially when we rollout mobile, people go, that's nice. You have it on a mobile app. And we questioned or they kind of questioned whether or not they can actually use it. We've had a couple since we've rolled it out over the past month, 45 days. We've had a couple of large customers actually accelerate the deployment of mobile. We just had one the other day, which I was really happy about. A large customer, they were working through an expand, take on not just what they were doing with the expand, but decide that they are going to rollout mobile across their various use cases, which is great to see.
Raimo Lenschow: Perfect. Well done. Congratulations.
Operator: Our next question comes from the line of Alex Zukin from RBC. Your line is open.
Aleksandr Zukin: Hey guys. Thanks for taking the question and congrats on a really strong quarter. So maybe just to start, the seven-figure deal growth, again, pretty extraordinary. And I wanted to ask you, just given the kind of continuing leveling up of the go-to-market motion towards this kind of enterprise operational planning platform, so the sales organization, and kind of how will we see it reflected in the numbers around sales productivity and dollar-based net expansion as we continue to go along? And then I've got a quick follow-up.
Frank Calderoni: Well, so I think we've talked about this over the past year because you get productivity by getting much more leverage in the investment that you're making. So let's talk about the customer. If you look at where our lands were a couple of years ago versus where they are right now, we've seen a significant increase and it continues to increase. And then as I mentioned a few minutes ago, we're also seeing the expands happen sooner and the expands be larger. I think that goes into kind of the strategy that we're working with, which is we basically are deploying enterprise sales, men and women that work with our customers, that are concentrated on a few accounts. We encourage them to work closely with partners. Partners allow us to get higher in the organization and enterprises as well as connect to certain transformation projects that are underway. And when you start to make all those connecting points and you start to see that flywheel as far as larger lands and then faster and larger expands is where you start to drive the productivity. And that's what we've been focused on. This year has been better than last year. Next year it will be better than this year. And that's kind of the multiyear plan that we're on. And one of the things, it's great to have Mark join. This is now his four months in Anaplan. Mark Anderson, he comes with a tremendous amount of experience having gone through two previous companies, going through the rapid growth and Mark is even helping us now kind of go to that next level, which is how do we continue this process, continue the productivity, continue the connection with some of these large experienced partners that we have. And I think, we'll continue to see a benefit as we continue down that path. And Dave, you want to talk about some of the metrics that we've discussed around productivity?
David Morton: Exactly. And so from the productivity, we'll continue to refer to our cost of acquisition, our lifetime value, our payback respective to that as well as just the overarching success from our team altogether, not only our direct sales force, our partner economy, but then also, the rest of the Anaplaners worldwide that really enabled this past quarter. And it's just not a one quarter march, it's more about the infrastructure and build out as we think about not only through 2021, but beyond that.
Frank Calderoni: And we all know, I mean it's a process. It's not an easy process. It's one that you continue to have to work through. I think we've got the right formula and strategy, and I think we've been also been able to demonstrate continued progress and that's the objective going forward. And I can't emphasize enough the importance for us around the partners, and that's why we do give – we do provide some of these metrics around how many partners attend, what events they go to. I mean, we're doing the same this week. Dreamforce is underway and we've got several initiatives underway. I got the meetings later today with some of our partners along with some customers and prospects. So we look for all opportunities that we can leverage and they do too, the connection of partners with customers.
Aleksandr Zukin: Perfect. And then just a quick follow-up. Dave, on the numbers, if I look at some of the year-to-date billings and subscription billings growth year-over-year. And then I look at the RPO growth in the mid-50s type level. I'm curious, how long should it take that kind of growth trajectory to waterfall into subscription revenue? And what are some of the puts and takes there as we think about those numbers?
David Morton: I think you'll see the waterfalls. We continue to gain scale. Clearly the RPO is something I continue to orient folks around because it's less. I'll call it a seasonal, if that's a proper word even because you don't get into the in-quarter out-of-quarter. And so even their appropriate wording year-to-date, clearly above 50%. And so that performance does yield in waterfall. And as you know, our standard contracts are approximately three years, so you'll see some near-term as well as longer term sustainability and continued rate of pace of the subscription revenues as you've seen thus far. 
Aleksandr Zukin: Perfect. Thank you, guys.
Operator: Our next question comes from the line of Richard Davis from Canaccord. Your line is open. 
Richard David: Hey, thanks. Frank, you mentioned Salesforce, maybe on that topic, I saw you guys partnered with Salesforce Einstein. And maybe more broadly, could you talk about particulars of that relationship, but also just kind of your view on the notion of machine learning and the hot topic of robotic process automation? And then I have a quick follow-up. Thanks.
Frank Calderoni: Yes. So if you think about – we've been working closely with Salesforce for a while. I think we talked about some things last year at Dreamforce, and it's great that we're able to talk more publicly about the engagement on Einstein. I mean, I'll say it a couple of different ways. First, I would say, if you think about a lot of your customers, especially when it comes to CRM and you kind of think about the sales organization. Anaplan is a great extension, and we have a lot of Salesforce customers that leverage Anaplan. And so there are – for customers, there's a tight connection and therefore there's a tight connection between Salesforce and Anaplan. The other thing that I would say, and this goes back to even one of the things that we closed this quarter as far as Mintigo, we're seeing more and more interest from customers, especially as they are further along in their Connected Planning journey where they're trying to get more intelligence. My example, Sleep Number, but I can come up with so many other examples, especially in supply chain where customers want to leverage not only data that they have within their organization, but also data outside the organization. That's why we looked at the team for us with Mintigo and bringing some of that technical capability within Anaplan. But also we're not looking to do it all ourselves. We also want to work with partners like Salesforce with Einstein to see where there’s ways, things that they've been able to develop now for a number of years and see on behalf of our customers how they can leverage both. And so that is an example, not the only example, but I think it's a great example of one that we're very pleased about and one that we'll continue to focus on going forward.
Richard David: And then just – yes robotics?
Frank Calderoni: Automation, I mean, clearly just a great area, not only that we will utilize here, but then also some of how we think about things on the connectivity and open APIs within our platform. And so being a core operator of this platform itself, you can see a lot of complimentary skill sets going back and forth and how the data is packaged and utilized. And so there's just a vast amount of opportunity is as everyone tries to take more and more friction out of that that middle office that we continue to talk about.
Richard David: Got it. And then I think you guys are doing a good job, because I've looked on your job board about that you're hiring customer success people because I think a lot of companies don't do that and they don't realize that that's a really good way to drive margin and make your customers happy. Is there – the quick tactical question on that, is there a mix of like people call them hunters and farmers, but whatever, is there a right mix? Is it two-thirds hunters, one-third farmers, and how does that evolve over time? Or does it get to 50/50, or how does it look inside of your company and what do you think? Thanks.
Frank Calderoni: I wish there was a specific formula, but there's not. I think we're getting better at trying to figure out what the right, it all depends on the – where the customers in their journey, the complexity of what they're trying to accomplish. Of course, we're going to provide more of those skills where we are seeing rapid expands and much more numbers of use cases and so forth. But you bring up customer success and we call them business partners. They're critical to that success not only in the first land, but also in this continued expand. And they work closely between, what we call the business partners and also our account executives as to working with our customers on planning out their journey and then also on how best to implement. So it's a tight alignment. In some cases, I don't even want to give ratios because there's really no specific. We do have most customers, if not all customers have been identified – we have somebody identified on the CS customer success side that works with them on their journey. And we tell customers that we're here to make sure that they get value from the platform and the customer success team along with the account executives have to make sure that the customers from the beginning and throughout are getting the value that they're signing up for.
Richard David: That’s super important. Thank you very much.
Operator: Our final question today will come from the line of Stan Zlotsky for Morgan Stanley. Your line is open.
Stan Zlotsky: Perfect. Thank you so much guys, and congrats on a very strong quarter. From my end, just a couple of very quick high level questions, one is macro, just a sanity check, certainly, from the strength of the quarter, it doesn't sound like there's any kind of macro concerns or anything that you saw in the quarter and especially the guidance that you gave it for next year. So maybe just – if you have any commentary on that. And then also, as far as your sales organization, how are you guys thinking about your sales organization with Mark Anderson being on board now for a little bit, as you're heading into fiscal 2021, any changes that you're thinking of making or any tweaks? That's it from me. Thank you.
Frank Calderoni: So Stan, thanks. First on the macro. We're not seeing any changes in the macro environment over within deal cycles or anything like that. So I would say, nothing that we've observed more recently. As far as Mark, as I mentioned before, it's great to have Mark on board with the expertise that he brings. This is where we're in a fortunate situation where we're early in the market. As I said before, we've got a long road ahead of us, and we're making investments, significant investments because you see the opportunity there. Mark has been focused in the first couple of months, clearly on ensuring that, we continue to have the right skills and the talent and also to continue to work with our partners as they talked about before to expand because the great thing about having Mark on board, is he has the view as we continue to look out what is necessary as we continue to scale. If we want to think about getting to a billion or even beyond that. He’s been there before, he's done it. And so that's great insight to have and he's helping the team that we've developed over the last couple of years move up to that next level as we get ready for 2021.
Stan Zlotsky: Perfect. Thank you so much.
Operator: I'll now turn back to the presenters for closing remarks.
Frank Calderoni: I want to thank everyone for joining us today. We appreciate the continued support. First of all, from our customers, and our partners, and of course, our employees and we also thank investors for their continued support of Anaplan. Thank you all for joining us today, and we look forward to meeting with you again on the next quarter as we close out the fiscal year 2020. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.